Operator: Good morning. My name is RJ and I’ll be your conference operator today. At this time, I would like to welcome everyone to the NiSource Second Quarter 2021 Investor Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Chris Turnure, Director of Investor Relations. Please go ahead.
Chris Turnure: Good morning, and welcome to the NiSource second quarter 2021 investor call. Joining me today are Joe Hamrock, our Chief Executive Officer; Donald Brown, our Chief Financial Officer; Shawn Anderson, our Chief Strategy and Risk Officer; and Randy Hulen, our VP of Investor Relations and Treasurer. The purpose of this presentation is to review NiSource’s financial performance for the second quarter of 2021 as well as provide an update on our operations and growth drivers. Following our prepared remarks, we’ll open the call to your questions. Slides for today’s call are available on nisource.com. Before turning the call over to Joe, Donald and Shawn, just a quick reminder, some of the statements made during this presentation will be forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the MD&A and Risk Factors sections of our periodic SEC filings. Additionally, some of the statements made on this call relate to non-GAAP measures. For additional information on the most directly comparable GAAP measure and a reconciliation of these measures, please refer to the supplemental slides and segment information, included in our full financial schedules available at nisource.com. With all that out of the way, I’d like to turn the call over to Joe.
Joe Hamrock: Thanks, Chris. Good morning, everyone, and thank you for joining us. Hopefully, you’ve all had a chance to read our second quarter earnings release, which we issued earlier today. We made significant progress in our generation transition and the current renewable replacement plan with Indiana commission approval now received for all of our joint venture renewable projects. In addition, we have received more than 180 proposals in our 2021 Integrated Resource Plan or IRP process, which will inform our generation replacement strategy in Indiana beyond 2023. We continue to expect that our infrastructure programs and generation investments will drive compound annual growth of 7% to 9% in diluted net operating earnings per share from 2021 through 2024 while reducing greenhouse gas emissions 90% by 2030 compared to 2005 levels. Let’s turn now to Slide 3 and take a closer look at our key takeaways. In the second quarter, we delivered non-GAAP diluted net operating earnings of $0.13 per share results reflect safety and modernization investments, COVID impacts, and they reflect the profile of our business without Columbia Gas of Massachusetts. We are reaffirming our earnings guidance and long-term financial commitments. We expect 2021 earnings of 41.32 to $1.36 per share in non-GAAP diluted net operating earnings. We continue to expect annual growth, safety and modernization investments of $1.9 billion to $2.2 billion, plus approximately $2 billion in renewables and associated transmission investments through 2023. NiSource expects to grow its diluted net operating earnings per share by 7% to 9% on a compound annual growth rate basis from 2021 through 2024 including near-term annual growth of 5% to 7% through 2023. As I mentioned, the Indiana Utility Regulatory Commission has approved 13 of our 14 proposed renewable energy projects and the new RFP for electric capacity and energy associated with NIPSCO’s 2021 IRP that is currently underway has drawn strong engagement from the vendor community. In other parts of our business, we filed rate cases in Ohio, Kentucky, and Maryland during the quarter, in addition to the case filed during the first quarter in Pennsylvania, where we are in advanced settlement discussions. Safety advancements continue across NiSource guided by our implementation of the industries safety management system, which serves as our core operating model. Recent advancements include the accelerated integration of contractors into our safety plans and deployment of Picarro advanced leak detection technology in two more states. Our environmental performance targets represent another vital commitment. I’m pleased to say that we remain on target. We expect to reduce total greenhouse gas emissions 90% by 2030 from 2005 levels. That includes a 50% reduction in methane emissions from gas mains and services by 2025. On that commitment, NiSource has already achieved an estimated 39% reduction in pipeline methane emissions compared to 2005 levels. Our infrastructure replacement programs are driving these improvements. Also last year, more than 1 million of our customers participated in our energy efficiency programs. On that note, let’s look at some NiSource utilities highlights for the second quarter, starting with our gas operations on Slide 9. The Ohio rate cases, one of three new rate cases filed in the second quarter. We’re requesting an annual revenue increase of approximately $221 million net of the trackers being rolled into base rates, pending a decision from the PUCO. New rates would be effective in mid-2022. In Kentucky, we filed a request for an approximately $27 million annual revenue increase net of trackers. And in Maryland, we filed a case on May 14, once again, net of trackers requesting about a $5 million annual revenue increase. New rates are proposed to go into effect in December of this year. In Pennsylvania, we filed a case just before the end of the first quarter, requesting an annual increase in revenue of approximately $98 million. Now let’s look at our electric operations on Slide 10. I’ll touch on NIPSCO’s Electric TDSIC plan. We’ve filed a new five-year plan in June. The $1.6 billion plan includes newly identified projects aimed at enhancing service and reliability for customers as well as some previously identified projects. We expect to receive an order from the IURC in December of this year. The other items on this slide relate to our transition out of coal generation, and I’ll turn it over to Shawn Anderson to give more detail.
Shawn Anderson: Thank you, Joe. We continue to be encouraged by the strong progress, advancing our renewable generation projects stemming from NIPSCO’s 2018 IRP. Over the course of the last three months, eight renewables projects informed by the 2018 IRP preferred pathway received approval from the Indiana Utility Regulatory Commission. This brings NIPSCO to the verge of an important milestone with 13 of 14 renewables projects approved to advance and replace the retiring capacity of the Schahfer Generating Station. Importantly, this includes all joint venture projects and leaves Crossroads II Wind, a power purchase agreement as the only project awaiting approval. Combining these new generating facilities, with a number of transmission projects to support system reliability across the new footprint. NiSource continues to track toward approximately $2 billion of renewable generation investments through 2023. We are excited, these projects will produce clean, reliable power for our communities, while saving NIPSCO customers, approximately $4 billion over the long-term. While the commercial and regulatory processes have advanced to support the preferred pathway from the 2018 IRP. NIPSCO’s 2021 IRP process is well underway and continues to track within its timeline. As noted in our release, in second quarter, we completed a request for proposal solicitation, similar to the process deployed in 2018. We are pleased with the response in terms of both the quality and the quantity of the proposals, which continues to show high levels of engagement in the vendor community as we advance our generation transition. Furthermore, with these more than 180 proposals covering a wide range of technologies and ownership constructs. It continues to point to a robust market across generation technologies, which will drive value for our customers and stakeholders. A few notes about the process and timing, the IRP analysis that we are currently stepping through. We’ll utilize data from the RFP to help inform the broad resource portfolio options for NIPSCO, in terms of Michigan City retirement timing, choices of replacement technologies and ownership constructs. We will share directional findings with stakeholders at public advisory meetings in the third quarter, incorporating stakeholder feedback along the way. We expect to develop the stakeholder supported preferred resource path within the 2021 IRP, which will be submitted to the IURC on or before November 1. Once the preferred plan is finalized and communicated, execution activities could commence, which may include commercial negotiations and further due diligence on specific assets or projects. Any specific projects then identified which support this preferred plan would represent incremental projects beyond the 14 highlighted earlier and in addition to the approximately $2 billion in renewable investments, NIPSCO has already filed. These are significant steps within NiSource and are part of our energy transition, which we were calling your energy, your future. As we work with stakeholders to create a dependable, affordable, and sustainable energy model, delivering the reliability our customers can trust. Now, I’d like to turn the call over to Donald, who will discuss our second quarter financial performance in more detail.
Donald Brown: Thanks, Shawn, and good morning, everyone. Looking at our second quarter 2021 results on Slide 4, we had non-GAAP net operating earnings of about $53 million or $0.13 per diluted share compared to non-GAAP net operating earnings of about $50 million or $0.13 per diluted share in the second quarter of 2020. I would note that 2021 results exclude earnings related to Columbia Gas of Massachusetts, due to the sale closing in October of 2020. Looking more closely at our segment three months non-GAAP results on Slide 5, gas distribution operating earnings were about $66 million for the quarter, representing a decline of approximately $8 million versus last year. Operating revenues, net of the cost of energy and tracked expenses were down about $28 million due to the sale of CMA and partially offset by increased infrastructure program revenues and customer growth. Operating expenses, also net of the cost of energy and tracked expenses were lower by about $20 million, mostly due to the CMA sale offset by higher employee related costs and outside services spending. In our Electric segment, three months non-GAAP operating earnings were about $85 million, which was nearly $5 million lower than the second quarter of 2020. Operating revenues rose about $11 million, net of the cost of energy and tracked expenses due to infrastructure investments and increased customer usage. Operating expenses, net of the cost of energy and tracked expenses were up about $16 million due to generation related maintenance and employee-related costs. Now turning to Slide 6, I’d like to briefly touch on our debt and credit profile. Our debt level as of June 30 was about $9.2 billion, which about $9.1 billion was long-term debt. The weighted average maturity on our long-term debt was approximately 15 years and the weighted average interest rate was approximately 3.7%. At the end of the second quarter, we maintain net available liquidity of about $2.2 billion, consisting of cash and available capacity under our credit facility and our accounts receivable securitization program. With Moody’s recently concluding their latest credit review, all three major rating agencies have reaffirmed our investment grade credit ratings with stable outlooks in 2021. Taken together, this represents a solid financial foundation to continue to support our long-term safety and infrastructure investments. Let’s take a quick look at Slide 8, which highlights our financing plan. There are no changes to our plan since last quarter’s equity unit issuance. Last quarter’s issuance had significantly de-risked our financing plans and it’s consistent with all of our earnings and credit commitments. As Joe mentioned in our key takeaways, we are reaffirming our 2021 earnings guidance and long-term financial commitments. I should remind everyone that we’re stating the guidance and diluted earnings per share due to last quarter’s equity issuance. Thank you all for participating today and for your ongoing interest and support of NiSource. We’re now ready to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Insoo Kim from Goldman Sachs. Your line is open.
Insoo Kim: Thank you. Good morning. My first question is on, I think the topic of the potential asset modernization that we have been talking about the past few months, it seems like just on these slides, that language is no longer on there. Just wanting to get your color and latest thoughts on any potential for that in your planning period and whether in the near-term, it’s just that given the equity units and other funding that’s already planned for the base CapEx, whether there is no immediate fee to raise that type of cash for further CapEx.
Joe Hamrock: Yes. Good morning, Insoo. Thanks for joining us. You should not read anything into that slide update. We remain focused on long-term shareholder value that hasn’t changed and we’re evaluating market conditions and our portfolio as an ongoing part of that process. And so though it’s related to the financing, as you noted, we continue to view any asset still is primarily a strategic decision based on long-term shareholder value, more than as a way to satisfy any near-term financing need. And that’s really, I mean, we’ve stated it over and over, that’s underpinned by our plan that drives 7% to 9% long-term growth inclusive of all financing in the current planning horizon and without any assets sales. So clearly a strategic shift would need to enhance. What’s already a strong plan? That said, given our exceptionally large known CapEx cycle, potential future investment opportunities that will unfold as we go forward and continued modest equity funding needs that go along with that or meaning our ATM program. It shouldn’t be surprising that we’re not taking those options off the table, just because it’s not on a slide, doesn’t mean it’s not continuing to be on the table. And those factors can converge with strategic alternatives at any point in time. So I appreciate the question.
Insoo Kim: Got it. That makes a lot of sense. My other question is, just on the electric demand growth that you’ve seen this quarter and year-to-date, Indiana seems like a pretty robust rebound, especially in the commercial and industrials. How does that trend compare versus your expectations, I guess earlier in the year. And are you seeing momentum that’s continuing as we head into the second half.
Donald Brown: I’ll take that, good morning. I think what you’re seeing on the C&I sales in electric business really is the impact of COVID last year in the second quarter. That second quarter where you had the businesses shutdown and certainly our largest customers shutdown operations had the biggest financial impact on us in that second quarter. So that’s the recovery what you’re seeing. And it certainly, as we expected and what we plan for, so very good outcome. And I’d say on the smaller commercial, we continue to feed a recovery there. Again, that’s expected in part of our plan and we’ll continue to monitor and manage that.
Insoo Kim: Got it. And just going forward, I guess when things – when we think about normal low growth overall, what’s a good rule of thumb type of level we should be thinking there.
Donald Brown: Yes. On the electric side, taking out the industrial, the largest industrial, which is pretty stable for the other customer classes we’re seeing in the 1% range, maybe a little less than 1%.
Insoo Kim: Understood. Thank you so much.
Operator: Your next question comes from the line of Durgesh Chopra from Evercore ISI. Your line is open.
Durgesh Chopra: Hey, good morning, team. Thanks for taking my question. Just on the 2021 IRP, I’m just thinking about, of course, can you confirm for us that any incremental capital spend coming out of that 2021 IRP in Indiana that would be sort of above and beyond your current CapEx plan, am I thinking about this the right way.
Joe Hamrock: Yes, that’s right. I think you said that right, Durgesh. Anything we that emerges from that from the IRP process would set up our planning cycle for next year and would allow us to roll forward our CapEx plan. But it’s too early to predict how that’ll play out, given where we are in the IRP.
Durgesh Chopra: That’s great. And then just thinking about, you obviously had a lot of success in the 2018 IRP, $2 billion in CapEx. Should we think about the upside or directionally, I mean, I guess if I were the handicap CapEx opportunities is the 2018 IRP as sort of a good starting point to make that assessment.
Joe Hamrock: Yes. I think it’s little too early to say that, because the IRP itself is sets up the plan. There are other factors outside of the IRP, notably, MISO’s continuing evolution of capacity credits and how to think about that, the evolving picture that we see through the RFP that we’re running here. So I think of it as an envelope that you’ll see, when we file the IRP, an envelope of opportunity. And all else being equal, our bias being to seek the investment opportunities that come through that plan. So we’ll know a lot more as we get through the coming stages of the IRP. And then beyond that into the final stages of planning for the replacement of Michigan City, which the timing of which is also part of the question in the IRP process.
Durgesh Chopra: Understood, thanks. And just one last one, just long the in terms of timing, sort of your Q4 call sets up pretty nicely with the filing of the IRP. Is that sort of for us to kind of look at what your forward looking plans are going to be in. What you might be able to accomplish in this IRP. Is that a good sort of a date for us to watch for an update from an IRP perspective?
Joe Hamrock: Yes. Just the overall timelines, the way they overlay it would be our Q3 call will be pretty close to the timing of the filing of the IRP. So there’ll be plenty to talk about there. That’d be a little early to a roll forward our CapEx plan, because there’s a lot of other parts of the business that go into the ultimate long range plan. And our business planning cycle, we’ll push that out to first half of next year sometime before, we’d likely be in a position to extend CapEx and growth rate guidance.
Durgesh Chopra: [Indiscernible] Thank you so much. Appreciate the time.
Joe Hamrock: Sure. Thank you.
Operator: Your next question comes from the line of David Peters from Wolfe Research. Your line is open.
David Peters: Hey, good morning guys. Couple of questions for me. Yes. Just – first, nice to see that you have the CPCNs for all the JV projects. And obviously I know third parties are developing those, but just wondering, are they all currently on schedule and budget just given some of the inflationary pressures kind of supply chain bottlenecks we’ve seen in the market. Have you guys seen any project – any impact your projects?
Shawn Anderson: Yes. Good morning. This is Shawn. I’ll take that question. Yes is the answer to your question. Everything remains on time, on schedule on budget. We’re confident in that schedule, we’re – in constant communication with our developers and everything continues to track, including even one project, which we expect to be concluding construction here in fourth quarter of 2021. So much to look forward to as we sequence through that.
David Peters: Great. Thank you. And then the other one, just on the ATM, can you guys share how much you have done year-to-date within your $200 million, $300 million target?
Donald Brown: Yes. Good morning. We have satisfied this year’s equity need of $200 million to $300 million. So we’re pretty good this year, certainly as you know, we’ve outlined it’s $200 million to 300 million annually through 2022, and then we expect in 2023, up to $150 million of ATM.
David Peters: Okay, great. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Travis Miller from Morningstar. Your line is open.
Travis Miller: Good morning, everyone. Thank you. Thinking back one of the questions about CapEx, as you’ve gone through the early stages here of replacing the coal with new renewables and thinking about your target out the 2028 and 2030. What does that trajectory look like in terms of more renewables that will be needed, right? If you give the – spend some of my question. You learn kind of what the investment need is relative to retiring coal plants and what that trajectory would look like going out.
Shawn Anderson: Yes, good morning. This is Shawn. So to get back to the 2018 preferred plan, it did as you noted have the retirement of Michigan City by 2028 with the replacement solution at that time pointing towards renewables. And so then you step into the current time where we’re at with the 2021 IRP. We’re putting all those assumptions back into reevaluate to ensure that that continues to path or if there’s any changes, and Joe highlighted some of those as you think about MISO’s changes or resource adequacy requirements, how that factors in into the blend of components that produce a plan and integrated resource plan with the reliability that’s necessary as well as the affordability that’s necessary, the compliance that’s necessary and all the other factors that you would use to measure in an entire fleet and entire portfolio. So the current plan is still that plan, which would be the retirement of Michigan City by 2028 with the replacement of renewables. And then the RFP process that we just stepped through helps to inform the actionable bids or technology and portfolio solutions that could come online to help support that build out. And as you know, we did an all source RFP, which allows other technology to come in and compete, and then we can evaluate all those different factors back within the context of the IRP itself and then the affordability, as well as the reliability and compliance, et cetera.
Travis Miller: Okay. So then that run rate that you’ve been looking at just in terms of dollars, nothing material you’ve learned new since the last two, three years going through that whole co-retirement reclosing with renewables. Is that’s what I’m kind of thinking about?
Shawn Anderson: That’s accurate. Yes. The existing plan would still be the plan of reference and I’d point you maybe towards the September, stakeholder meeting within the context of the IRP itself that will help to inform more of the existing fleet analysis, which speaks more to the timing question related to Michigan City or the retirement of existing assets, as well as understanding how the replacement technology could sequence it to support that.
Travis Miller: Okay, great. Thanks so much. Appreciate it.
Operator: Your next question comes from the line of Ryan Levine from the Citi. Your line is open.
Ryan Levine: Hey, good morning. This might be for Shawn. What level of transparency do you have and the status of the solar development – the solar projects developments given the third-party nature and given a supply chain challenges, could it be a NiSource’s interest to encourage that the way some of these projects.
Shawn Anderson: Yes. Thanks, Ryan. Appreciate it. As I said, we regularly speak with our developers and we have an ongoing dialogue and discussion with our developers to ensure that we remain part of the dialogue through the process. Of course, when those projects operationalize, that takes a significant amount of work on our team’s side as well. And so there’s constant communication to ensure that we’re pacing alongside one another. Our counterparties have track records of being on time and on budget. This combined with the long lead time of the contracts themselves, give us the confidence that these projects continue to path.
Ryan Levine: To the extent that there were price escalations or bottlenecks in the logistics delivery, could that conversation be take place that would encourage NiSource to push these projects to be delayed, given the may result in a better net outcome or how do you think about puts and takes that would underwrite touch it decision?
Shawn Anderson: Yes, it’s a great question. And maybe I’d point you to the beginning of the process, because we worked hard to build it and contractual protections for our customers and our shareholders in the event of a delay. We feel our developer partners are also strongly incentivized to execute on time and on budget. So we have multiple tools available to protect customers and shareholders from any delay. And we’re confident in the discussions, the level of transparency, as well as the construction timelines.
Ryan Levine: Okay. And then last question for me, in terms of the new technologies that are being proposed through the RFP, is there any that weren’t being anticipated and may change the direction that you think the outcome could be in Indiana?
Shawn Anderson: Yes. Great question. So we did receive two actionable proposals related to hydrogen, so not having a bias entering the process, using the RFP results themselves to give an indication of where market developments and technology developments have come together. We were interested in – are interested to learn how those two proposals will stack up against all the other technology that we’re probably more familiar with, as you can imagine. The fact that there were only really two actionable proposals might point to the nascency of the technology and itself, but that’s not necessarily all that surprising as there might needs to be some more depth in the market to make those actionable, but we’ll see that it’s exciting to see that there’s two on the horizon that could be actual within our window. And we’ll see what the results are as the third-party starts to evaluate the quality of those bids and all the other components of the IRP itself.
Ryan Levine: Thanks for the update.
Shawn Anderson: You bet. Thank you.
Operator: [Operator Instructions] We have a follow-up question coming from the line of Insoo Kim from Goldman Sachs. Your line is open.
Insoo Kim: Yes, thanks for taking the additional question. I just have one just on your – the latest thoughts on the safety management system on program, after implementing that, and as the program continues to mature, how do you think about what the ultimate impact of those different actions and plans have on your operations and maybe just financially, whether it’s on O&M, is it – can we think about it continue to add a contempt constant layer of cost, or do some of those actions actually help reduce some of the costs going forward?
Joe Hamrock: Yes. Thanks, Insoo for that question. Very insightful framing too. We’re at what I would call full implementation now of the SMS framework across our business and the way it’s translating into the financial results that you pointed out are in a couple of different ways. It’s broadening on a risk basis, the portfolio of investments that we’re making, and ultimately that we’re reflecting in our regulatory proceedings. And so think about the different asset classes, transmission pipe, distribution pipe, measurement regulation, even in our case, non-jurisdictional programs beyond the meter. So that we put all those side by side, evaluate the risk profile of each asset class and prioritize investments accordingly that’s a much more sophisticated model than has been the case historically. And so it’s shifting the investment mix. And in some cases, we’ve seen the regulatory support for those follow along with tracker programs, for example, expanding to include differentiated programs. So it’s been a sort of a net broadening of the investment plan. And then from an O&M standpoint, it’s you’ve seen the O&M trajectory here, we’re down. And it’s actually driving efficiencies in some ways, because of the nature of how the programs are designed. So that the actual program level cost is fully embedded in our current run rate. And I wouldn’t expect to see an increasing layer of cost associated – O&M cost associated with the SMS program itself. And then finally, I think the – maybe the most important point is the de-risking that’s happening as a result of those programs both in terms of asset programs and process safety, where we’ve implemented incremental process controls across the risk areas in the business or critical tasks that might have high consequence risks associated with them. And we’ve been implementing those. We’ll continue to do that, but those generally are reconfiguration versus incremental capacity in the business model. So feel very good about where we are from a financial profile related to SMS and safety and a lot of opportunity in front of us for further de-risking of the business.
Insoo Kim: That makes a lot of sense. So thank you so much.
Joe Hamrock: Thank you.
Operator: There are no further questions over the phone line at this time. I would now like to turn the call back to Mr. Joe Hamrock for closing remarks. Sir?
Joe Hamrock: Thank you, RJ, and thank you all for your questions. Let me close by just reiterating a few key points. One, that we’re confident in our growth plan. We’ve executed a number of key stages in the current growth plan. Notably the renewable generation projects the 13 to 14 now with regulatory approval or CPCN approval, and the related transmission projects that go with that now underscores and underpins the $2 billion in renewable transition investments through 2023. And then the RFP that’s underway for the 2021 IRP as Shawn noted includes 180 new proposals and giving us an updated picture of the opportunities for the future. Add to that four of our gas utilities are in a base rate cases. Now all aligned with investments in modernization and safety that our customers value. And then finally, we’ve reaffirmed our 2021 guidance and our long-term growth rate commitments. So pleasure to be with you today and have an opportunity to share that story. We appreciate you joining us, and we appreciate your interest in support of NiSource. Please stay safe.
Operator: This concludes today’s conference call. We thank you all for participating. You may now disconnect.